Operator: Good day everyone and welcome to the Allegiant Travel Company’s fourth quarter and full year 2008 financial results conference call. We have on the call today Maurice Gallagher, the company’s President, CEO and Chairman, Andrew Levy, CFO and Managing Director of Planning for the company and Ponder Harrison, the company’s Managing Director of Marketing and Sales. Today’s comments will begin with Maurice Gallagher followed by Ponder Harrison and then Andrew Levy. After the presentation we will hold a short question and answer session. We wish to remind listeners to this webcast that the company’s comments today will contain forward-looking statements that are only predictions and involve risks and uncertainties. Forward-looking statements made today may include, among others references to future performance and any comments about our strategic plans. There are many risk factors that could prevent us from achieving our goals and cause the underlying assumptions of these forward-looking statements and our actual results to differ materially from those expressed in or implied by our forward-looking statements. These risk factors and others are more fully discussed in our filings with the Securities & Exchange Commission. Any forward-looking statements are based on information available to us today and we undertake no obligation to update publically any forward-looking statements whether as a result of future events, new information or otherwise. The company cautions users of this presentation not to place undue reliance on forward-looking statements which may be based on assumptions and anticipated events that do not materialize. The earnings release as well as a rebroadcast of this call are available at the company’s Investor Relations site www.ir.allegiantair.com. At this time I would like to turn the call over to Maurice Gallagher; please go ahead sir.
Maurice Gallagher : Good morning everyone. It’s a pleasure to be with you again. As indicated joining me today are Andrew Levy and Ponder Harrison. I’m going to give a brief overview, Ponder will comment on our revenue results and Andrew will wrap up with comments on our network activity, expenses, and balance sheet, after which we will take your questions. We are very pleased with our outcome this quarter. It appears we will once again produce industry-leading results with an operating margin of 23.4%. Net income increased over 280% compared to the fourth quarter of 2007 and 272% sequentially compared to our third quarter in 2008. If you remember back to our IPO Road Show in late 2006, we indicated our corporate goal was to achieve and sustain a mid-teens operating profit. First three quarters of 2007 had operating profits of 14%. However beginning in the fourth quarter of that year we had to take the next four quarters off because of the spike in fuel prices. As margins began deteriorating due to fuel increases, we adjusted the business accordingly, namely trimming capacity and reducing growth; both necessary to increase unit revenues. This allowed us to maintain profitability through these difficult months, though at a margin substantially below our corporate goal. Our 23% operating margin this quarter however puts us back on track towards our commitment of late 2006. How were we able to generate such a large increase in margin from 7% in the third quarter to this 23% level? Our focus on increasing revenues was evident in these results. In spite of a difficult economy we were able to not only hold overall revenue per passenger compared to the third quarter but increase it from just under $120 to $120.50. Over the past year Ponder and his team have focused increasingly on our ancillary revenues and we have seen a 50% increase during this timeframe from a low $20 range to our current $32 plus. These ancillary revenues were a critical part of our December results. As I said overall we had $120 in revenue per passenger and $92 in cost for $28 per passenger in operating margin. In the September comparatively we had $8 per passenger in operating margin on the same revenue per passenger, $120 but the costs were $112. This $20 increase in profit per passenger was attributable to our reduction in fuel cost. In the third quarter it cost us up $58 per passenger for fuel while the fourth quarter cost was $37 per passenger. And by the way, December fuel cost per passenger was $29.50 and most recently it is approaching the mid-$20’s per passenger. Oil prices again appear to be connected to supply and demand metrics. The speculative bubble that peaked at $147 per barrel this past summer was part and parcel of the economic turbulence we have been experiencing in the past 18 months. We made a decision some 18 months ago as well to manage our fuel issues by a capacity adjustments. We ceased entering into traditional financial derivative contracts. Although some questioned our strategy of not hedging as prices rose, in hindsight this has proved to be a wise decision. Today we are benefiting completely from the rapid reduction in oil prices of the past few months. I must say the reaction of the market this morning is quite surprising. Clearly the economic malaise we are enduring has caused our booking curve to compress in the past 60 days and the selling [fare] to commence somewhat. As we indicated in our release in the first quarter we expect ancillary fare to at least maintain its current levels but we expect the combined scheduled service selling fare to be down 4% to 6% compared to our Q1 2008 results. There are offsets to this. Offsetting this decline are two important factors, namely, one our year-over-year stage length and scheduled service will decline more then 3% and two, we expect our load factor to increase from 87% last year to north of 90% in this coming quarter. Results of these combinations will be an increase in total scheduled RASM, not a decline. Based on what I have heard from analysts and others we will be one of the only players with a positive year-over-year RASM increase in the upcoming quarter. Those who focus just on our selling fare missed a critical part of the equation; our leisure customers will and still respond to pricing initiatives. Our scheduled reductions we initiated in 2008 as we chased spiraling fuel costs, caused some of our unit costs to increase in this fourth quarter. Small increases in unit costs are the issue when compared to substantial increases in unit revenue, such as the 24% increase in TRASM we had in the most recent quarter. This magnitude of revenue increases produced the exceptional results of a 23% operating margin and a $28 profit per passenger. Looking forward we have a great deal of clear runway in front of us. The increasing unit revenues we expect in this upcoming quarter compared to Q1 2008 plus the decrease in expenses in the coming quarters bodes well for us. With fuel approaching the mid-$20’s per passenger we are expecting in Q1 a total operating cost per passenger in the mid-$70 range, down $15 or more possibly, from the $92 total operating cost per passenger in this most recent quarter. And this decline is not only attributable to fuel only. We will also see our non-fuel cost per passenger retreating as well. We continue to focus on ways to reduce our already low cost structure. Inexpensive aircraft, efficient headcount, simple [out and back] system, distribution, and administrative efficiencies are all part of the formula we continually work on. We will begin growing again this year as well. As an example our March scheduled departures will be up around 18% year-over-year. We will continue this increase in the second quarter. Scheduled service departures will be up at least 18% year-over-year. In particular we will be increasing the utilization of our fleet. We will have 270 departures per aircraft this quarter versus 212 and 227 departures respectively in the third and fourth quarters of 2008. Looking forward we want to capitalize on our improving results and return to our double-digit growth levels of past years. Given the financial difficulties the country finds itself in we are pleased with our position. During the past seven years our conservative approach particularly with respect to growth and the management of our balance sheet has positioned us quite well. But I want to stress that the tailwind that we current feel at our back is not from luck, but rather the direct result of a focused, dedicated management group executing a strategy we have developed and nurtured over these many years. As we look forward we expect this positioning, this strategy will continue to produce excellent results. Lastly I want to thank all of our team members. Through their efforts, their focus, their dedication, and their friendly attitude, we continue to separate ourselves from the crowd. Ponder will now comment on his part of the [inaudible].
Ponder Harrison : Thanks Maurice, well as most US retailers lick their wounds from a I guess a disastrous holiday season, we on a somewhat brighter note actually have some very positive news to report. Our top line revenue growth for both the quarter and the calendar year remained really strong. For the fourth quarter total system revenue increased by 21% to $122.4 million on departure growth of just 4% and for the full calendar year, system revenue was just over $500 million, a jump of 40% on an increase in departures of 25%. Our scheduled service operations meaning both the scheduled service and ancillary line items reported, contributed approximately 90% of system revenue, which I’ll review in greater detail in a second. However fixed fee revenue, the remaining large line item, was also up nicely growing 61% year-over-year in fourth quarter and 49% annually when compared to the prior calendar year. This reflects the expansion of service within our [Harris Track] Charter program and a continued focus on profitable ad hoc charter flight utilization during seasonal periods when demand for our scheduled service is weak. This past fall in particular we successfully secured numerous college sports teams’ charters during times when our aircraft would have otherwise been idle. More generally it shows the continued success of the charter sales team that we put in place back in March of 2008. Additionally 2008 was our seventh consecutive year operating dedicated charter flights for Harrah’s Entertainments Properties in Laughlin and Reno, Nevada. We initiated similar operations for them in 2008 in Tunica, Mississippi supporting Harrah’s southern properties. And looking ahead into 2009 fixed fee contract revenues for Harrah’s our principal fixed fee customer, will be lower due to a previously disclosed structural change in our contract which became effective on January 1 of this year. In our new three-year agreement, 100% of fuel expenses reimbursed by Harrah’s therefore our revenue per block hour is lower and fuel expense is now zero for all of our Harrah’s flying. Additionally the Mississippi flying is being done with aircraft instead of two which were used in the first quarter of 2008 and this will drive less flying and revenue particularly during the first quarter. We will provide more detailed guidance in an 8-K filing we plan to make later this week. Lastly we’ve also recently been approved, I think as we’ve mentioned before by the Department of Defense to perform official military and government charter flight operations. We will begin bidding on these opportunities and anticipate modest revenue benefits from this source during calendar year 2009. And now moving on to the scheduled service numbers, scheduled service revenues accelerated sharply by 28% year-over-year for the full calendar year 2008 finishing at $331 million. In the fourth quarter this category continued to demonstrate positive gains growing 7% year-over-year and posting net result of just $78 million. When combined with the ancillary revenue category total revenue related to our scheduled service customers increased significantly year-over-year ending 2008 at $446 million, up 38%. Likewise in the fourth quarter of 2008 revenue improved nicely, moving up 16% year-over-year to approximately $109 million. Significantly these revenue gains were achieved on departure growth of just 18% for the full year and in fact an actual reduction year-over-year of 2% in departures during the fourth quarter. Given the flexibility of our aircraft resources and structural benefits of our route network, plus our known penchant for micromanaging our capacity offering to tightly fit demand, this reduction in year-end scheduled flying reflected planning decisions taken in the first half of 2008 when fuel prices were at unprecedented levels. Had we known then that fuel prices would collapse in the last six months of the year, its highly likely we would planned for higher utilization and departure metrics. The reduction in fourth quarter and full year 2008 average stage length also reflects our past focus on combating high fuel prices. Given essentially flat capacity the disproportionate growth in revenue would logically result from either number one, a significant increase in total passengers, or a positive movement in total revenue per passenger, or third the combination of both one and two, which indeed was the case. Once again we remain true to our stated objective of driving extraordinarily high passenger loads by finishing the fourth quarter with a scheduled load factor of 89.7%, an increase in excess of 10 load factor points on a year-over-year comparative. For the full year we fell just short of a scheduled 90% load factor number by one-tenth of one load factor point. Further during 2008 we exceeded a scheduled load factor of 90% in six actual individual months. Total scheduled passengers for the full year increased 29% to just shy of four million and even with an absolute reduction in fourth quarter departures, we still carried lots of customers as scheduled passengers grew by 11% to approximately 937,000 customers. This substantial gain in scheduled traffic contributed to a positive result in system average passengers per departure which expanded 14% year-over-year as we enplaned 131 customers per trip in the fourth quarter versus just 115 in the prior year quarter. And for the full year, passengers per departure also improved significantly reaching 132 customers per trip versus 120 in the full calendar year 2007 reaching an increase of 10%. With our scheduled stage length declining relatively stable yields produced average base airfares which moved in close correlation to flight distance as Maurice already mentioned. As expected for the quarter average base airfare, that’s the fare excluding the ancillary revenue, retreated by 4% year-over-year to $83 from $86.57 in the prior year. For the full year base airfare was off only 1% coming in at $85 in calendar year 2008 versus $85.80 in the prior year. When coupled with the year-over-year increase in passengers at 29% and 14% respectively for the full year 2008 and for the fourth quarter 2008 you would also expect the passenger RASM trends to be positive, which they were, improving a double-digit 14% for the quarter and 13% for the full year. And as also expected, ancillary revenue was once again a predictable and positive contributor. Most impressive however was the year-over-year gain in total ancillary revenue of 76% for calendar year 2008 and 51% for the fourth quarter. Respectively ancillary revenue as a percent of base airfare revenue was 35% in 2008 and it also grew to 40% in the fourth quarter. Despite the decline in stage length and relatively flat yield environment, ancillary per passenger grew 35% in 4Q reaching a level of $32.85 versus just north of $24 in the fourth quarter of 2007. On a sequential basis ancillary once again posted positive gains for the quarter and for the full year ancillary climbed 37% finishing 2008 at $29.43 per passenger as compared to a $21.53 level per passenger in the prior period. Not surprisingly ancillary RASM spiked 61% year-over-year in the fourth quarter and 55% for the calendar year. Also important was the positive movement in total average fare per passenger of 5% year-over-year for the quarter increasing to approximately $116 from $111. A similar result of the full year was achieved with total average fare moving 7% year-over-year from $107 to $114. Total RASM trends as expected were also stellar improving 24% year-over-year for the fourth quarter and an impressive 21% for the full calendar year 2008. Growth in the ancillary category resulted less from third party product revenue gains then it did from continued yield and pricing improvement in the unbundling product categories, such as seat assignments, priority boarding, web, and airport baggage fees, and our own unique Trip Flex insurance substitute policy. Not to say that hotels, rental cars, and attraction tickets aren’t important, but the balance across all small cities and destinations from unbundling is extremely gratifying as we continue to grow into new markets. Growth in our Las Vegas hotel room production has remained solid when measured year-over-year on a per departure basis. For the current calendar year rates have been reduced dramatically for Las Vegas hotel inventory which makes Vegas a very affordable and attractive entity for our customers. As for rental cars we successfully renewed our exclusive agreement in the fourth quarter with Alamo for the 2009 period and we anticipate continued growth in this product segment. Looking to the future, our nation now faces a negative economic climate, that’s a fact. In general the economy basically went on strike in the fourth quarter and appears to have remained in a similar state as we peer into 2009. Considering that backdrop however, we are actually encouraged by our continued ability to stimulate overall demand in both existing and new markets. The advanced booking curve as Maurice mentioned for our product is compressed as consumers in general we believe, had been conditioned by the holiday shopping retail mantra of “the longer you wait the cheaper it gets.” Thus in 2009 we certainly expect some reduction in average base airfare as we strive to continue filling airplanes close to levels at or in excess of 90% plus. But based on our fare guidance and our expectation of materially higher load factors in the first quarter of 2009 versus the first quarter of 2008, we expect to see an increase year-over-year in total RASM in the first quarter, as Maurice mentioned in his remarks. And regardless of this relative airfare softness we believe that we are well positioned to enjoy a return to robust double-digit operating margins, all else equal, due to the dramatic year-over-year reduction anticipated in the cost of fuel for 2009. And contrary to other legacy and LTC industry participants, we also believe that now is an excellent time to begin growing our scheduled service offering via increased utilization in existing markets and the further development of new small cities and new destinations alike. One interesting data point is that in our non-Vegas destination bases, there is a lot of VFR traffic visiting friends and relatives as evidenced by the relatively high customer point of origin in both our Phoenix and Florida bases. We believe that this type of traffic is much more resilient to an economic downturn since it is not truly as discretionary per se as is a packaged vacation to Vegas. Along these lines we initiated 18 new routes in late fourth quarter 2008 and will also commence operations on seven additional new routes in the first quarter of 2009. In fact, just this morning we announced service from Grand Rapids, Michigan to Las Vegas. And of these 18 new city pairs only two actually touched our Las Vegas destination. In fact by the end of March, 2009 Las Vegas departures will represent only approximately 35% of the scheduled system total as measured by departures. This isn’t to diminish the attractiveness of the Las Vegas market, but more importantly we think it demonstrates the balanced strength of opportunity for continued uncontested small city market growth. And now I’ll turn it over to Andrew to review our financials and our market planning activities.
Andrew Levy : Thanks Ponder, we are pleased to report our 24th consecutive quarter of economic profits. Our 23.4% operating and pre-tax margins represent record levels of profitability for our company. Our net income for fully diluted share of $0.88 is also a record for us. I will review the highlights of the income statement in a few moments, but first I’d like to focus on our balance sheet and liquidity position which is already strong but has strengthened substantially during the fourth quarter of 2008. We ended the quarter with $174.8 million in unrestricted cash and short-term investments, up from $138.6 million at the end of the third quarter. Excluding cash associated with air traffic liability, cash balances increased by $45 million to $105.8 million. Our debt declined to $64.7 million from $70.1 million leaving us with a net cash position of $110.1 million. We are unique among our US industry peers in having more cash then debt. Capital expenditures during the quarter amounted to $3.8 million. This consisted of $2.4 million for improvements to aircraft previously on leases one of which entered [revenue] service during the fourth quarter and the purchase of $1.4 million in spare aircraft parts and ground support equipment. Subsequent to year-end we purchased for cash one MD-80 aircraft which will enter revenue service later in the first quarter of 2009. We expect CapEx for the purchase and improvements required to place this aircraft into revenue service will be less then $4 million. These expenditures are included in the 2009 CapEx forecast provided in our earnings release. We are benefiting from a substantial decline in MD-80 values that has occurred in the past few months. For the last few years we typically spent between $5 million and $6 million to acquire high quality MD-80 aircraft and make them ready for revenue service. We now believe that a range of $4 million to $4.5 million is a more appropriate estimate for these aircraft at this time. If we choose to grow our fleet more rapidly then stated in our earnings release guidance we have the means to do so without any need for external financing. Nonetheless we are pursuing attractively priced debt financing and believe we have a couple of interesting options to consider in the coming few months. And finally we are pleased to be able to fund our growth through internally generated cash and at the same time acquire up to $25 million of our shares under the repurchase program we announced in our earnings release. Now let’s review some highlights from the income statement, the combination of scheduled service and ancillary revenues increased by 16.4% in 4Q 2008 compared with 4Q 2007 despite a 2.2% reduction in scheduled service departures and a 6.1% reduction in scheduled service available seat miles and resulted in total RASM growth of almost 24%. Our fixed fee contract revenues increased 61% due primarily to our flying for the Harrah’s Mississippi subsidiaries, a contract we did not have in place during fourth quarter of 2007. A substantial increase in ad hoc flying also helped drive our substantial year-over-year growth in this revenue line. Other revenues jumped by $1.1 million as compared to the prior quarter. Other revenue during both the third and fourth quarters of 2008 is from the lease of six aircraft and three spare engines we acquired in April of 2008. Fourth quarter revenues increased due to the return of three aircraft during the period which led to the recognition of revenue from unclaimed maintenance reserves we held as lessor. We expect other revenues to be approximately $1.3 million in 1Q 2009, $400,000 in each of 2Q and 3Q 2009, and $200,000 in 4Q 2009. We continue to do an excellent job managing our costs and believe we have the best cost structure in the business. Total operating expenses declined by 1.2% in fourth quarter 2008 versus fourth quarter 2007 despite a 3.5% increase in departures, a 23.4% increase in aircraft, and a 14.2% increase in full time equivalent employees, or FTEs. In analyzing our expenses during the fourth quarter it is important to be mindful of how aggressively we reduced our capacity to better manage through the high jet fuel prices we expected to have to pay during the quarter. Our 2.46 departures per aircraft per day during fourth quarter of 2008 was down over 16% from fourth quarter 2007 and was the lowest recorded in any quarter since the fourth quarter of 2005, excluding the third quarter of each year when we have much lower utilization due to seasonality and lower demand trends. Our decline in utilization during the fourth quarter of 2008 increased our unit costs, but as we returned to more normal fleet utilization this first quarter 2009, we expect our operating expense per passenger excluding fuel to decline to the $48 per passenger we posted during the first quarter of 2008. Aircraft fuel expense declined 23.7% due mostly to a 21.6 % reduction in the price per gallon to $2.07 from $2.64 during fourth quarter 2007 and lower fuel burned per block hour of 931 gallons an hour, from 944 gallons an hour in fourth quarter of 2007. The decline in gallons per block hour despite significantly increased loads is due in large part to the efforts of our flight crews to be more efficient in how we fly our aircraft. The improved efficiency along with an 8.8 percentage point increase in total system load factor led to a 15% decline in fuel gallons per passenger from 20.7 gallons a passenger in the fourth quarter of 2007 to 17.7 a passenger this past quarter. The end result is fuel expense per passenger of $36.70 in 4Q 2008 versus $54.53 in 4Q 2007. December’s fuel cost was $1.65 per gallon and pricing so far this month is similar to December. Salary and benefits expense increased 33.6% but if accrued bonus and stock compensation expense are eliminated, the increase is only 19.5% trailing growth in revenues during the quarter. Stock-based compensation expense was $492,000 and $302,000 in 4Q 2008 and 4Q 2007 respectively and bonus accruals totaled $2.8 million in 4Q 2008 and $804,000 in 4Q 2007. Bonus accrual is based on a percentage of operating profits. Our results this past quarter drove a much higher bonus accrual then in fourth quarter of 2007. Excluding these items the increase in salary and wages is due to a 14% increase in FTE’s and a 4.7% increase in cost per FTE. Station operations expense increased by 22.4% due to a 3.5% increase in departures and an 18.3% in cost per departure. Much of the increase in cost per departure is due to a larger percentage of fixed fee contract revenue flights, 14% in fourth quarter 2008 versus 9% in fourth quarter of 2007. Station operations expenses are substantially in our scheduled service system compared with our fixed fee flying. Maintenance and repairs expense increased 25.5% due primarily to a 23.4% increase in average number of operating aircraft during the quarter. Our maintenance and repairs expense is driven mostly by the size of our fleet as opposed to our fleet utilization. Therefore we view these expenses are more fixed then variable. Maintenance and repairs expense per aircraft per month was $85,000 during the fourth quarter of 2008 as compared with $105,000 in fourth quarter of 2007. We believe $90,000 per aircraft per month remains an appropriate forecast for this expense line but note that maintenance expense will continue to vary by quarter depending on the timing of events such as airframe heavy maintenance visits, and engine overhauls. Sales and marketing expense declined by 5% in fourth quarter 2008 due to lower direct marketing expenses and lower credit card discount fees due to our decision in early 2008 to stop accepting American Express as a form of payment. Aircraft lease rentals expense declined by almost 60% in fourth quarter 2008 due to the purchase of aircraft that were previously leased. Depreciation and amortization expense increased almost 44% primarily due to having 16 more owned aircraft in fourth quarter 2008 as compared with fourth quarter 2007. These include aircraft purchased in early 2008 referenced above. When viewed in combination aircraft lease rentals and depreciation and amortization expense increased by only 27%. Expense per aircraft per month declined to just shy of $52,000 per aircraft per month from $55,000 per aircraft per month during fourth quarter 2007. Lastly other expense increased 3.2% in the fourth quarter, reductions in home liability insurance, professional fees, property taxes, and training were slightly exceeded by increased rent associated with our new headquarters building and an increase in engine dispositions. Lastly let me discuss our capacity guidance and how we are viewing future capacity growth going forward. We have guided to a significant amount of growth in the second quarter of this year which contrasts markedly with what other airlines have been doing. I want to outline why we think this is reasonable, the state of the economy notwithstanding. First no airline is more leveraged to fuel then Allegiant. This meant that in some ways we were uniquely challenged when oil was $147 a barrel, but likewise we are uniquely advantaged by the $100 collapse in pricing since then. You should expect to see us have a more aggressive growth stance then other airlines on this basis alone. Second our aircraft are inexpensive so we’re able to rapidly increase and decrease capacity. Our ability to quickly tailor our capacity up or down is one of the unique strategic advantages we have and we plan to continue to take full advantage of this in our attempts to maximize profitability. Starting in October, 2007 when fuel prices began to rise sharply, we were among the first to aggressively cut capacity and we probably cut capacity on existing routes more deeply then others. These cuts were somewhat masked by the fact that we were simultaneously expanding our route network. So a lot of the growth in the second quarter is the partial restoration of capacity cuts we made last year as fuel spiked. Third this year’s Easter holiday will fall in the second quarter whereas last year it was during the first quarter. As a result our April capacity will be substantially larger this year then it was in 2008. Easter generates significant leisure demand and we typically add substantial capacity during this period in order to maximize profits. Lastly we view ourselves in a niche that is still only partially exploited with many opportunities to continue to profitably grow our route network. Despite the already substantial growth in the schedule we plan to have a major growth announcement in the next few weeks which would increase our capacity during the second quarter as well as through the back half of the year. Of course we will only grow our business if we are convinced that we will increase profits. If the economic environment deteriorates and changes our internal forecast to the point where it does not make sense to grow, then we will reduce our planned capacity growth to ensure we maintain strong levels of profitability, as has always been our priority. Thank you and we will now be happy to take some questions.
Operator: (Operator Instructions) Your first question comes from the line of Michael Linenberg – Merrill Lynch
Michael Linenberg – Merrill Lynch: When you were talking about the RASM guidance and I think everybody touched on RASM being up in the March quarter I think you said, you indicated that your stage length would be down, that you would have a lower stage length and I’m just looking at your departure growth versus your ASM growth and it looks like maybe that’s not the case, but then maybe this is total and not scheduled so if you could just clarify on that?
Maurice Gallagher : If I recall my comments, we said our stage length will decline somewhat, 3% in the first quarter and certainly departures are going to be up.
Andrew Levy : I think that to clear it up, the guidance was total system, Maurice’s comments were specific relating to scheduled service. So that is in fact how you explain the discrepancy there, or the perception of a discrepancy there. That’s what’s going on. There are two separate sets of numbers.
Michael Linenberg – Merrill Lynch: I think you may have touched on this about maybe the resilience of Florida and maybe we’re starting to see a real distinction in your, call it your 100% discretionary leisure traveler, and the VFR travel, and I’m curious how that may break up across the regions with respect to booking curve and some of the travel decisions. Is it noticeable say Vegas versus a Florida or Phoenix, how is that, any color on that would be great.
Ponder Harrison : Just some general comments, we’ve been seeing this for some time and I think unfairly people view our entire route network is just 100% discretionary much like a packaged vacation to Vegas would be and as we’ve built our Florida bases, as we’ve built the Phoenix bases and again not to exclude kind of our mini base up in the Bellingham area as well, what we see is strong points of origin traffic at the VFR level for a number of these places. In fact in certain quarters our Florida traffic can exceed 30% to 35%, Florida originating. Our price points for air only are so compelling that number one, its highly attractive for these particular customers. Secondly we serve points in small markets that there really is just no other way to get to so again, kind of the uncontested market theory at a very, very high value proposition we believe tends to somewhat outweigh some of the pure discretionary traffic considerations of the vacation. Phoenix, as we’ve grown our Phoenix market as well, we see a tremendous strength in our VFR market, quite frankly we thought we’d sell a lot more hotel inventory in our Phoenix cities and what we have seen is a very, very strong move in both Phoenix originating on a seasonal basis but in a strong VFR component. So again, I think just one further add to the booking curve, booking curves tend to kind of run in correlation with stage length as well. Certain of our east coast markets are shorter stage length markets then our west coast offering and I think by definition they’ve kind of historically had a shorter curve. I don’t know that those have contracted that much. The Vegas market in particular we think has contracted but we also believe we’re getting our hands around it now and we can understand it thus we’re able to provide total revenue per passenger guidance going forward that again, bear in mind, we think its conservative. We tend to always want to under promise and over deliver so I think we’ve always lived by that mantra so take that into account as well.
Michael Linenberg – Merrill Lynch: When I look at your network summary you list the five major leisure destinations and then you have four other leisure destinations, can you just state those four leisure destinations?
Ponder Harrison : Well we’re going the other routes right there, this is west coast side.
Andrew Levy : I think that that would be Reno, Oakland, San Diego, and Palm Springs, and next quarter that number will probably be five, it will include Punta Gorda which we’re going to be serving from a couple of markets starting later this quarter.
Michael Linenberg – Merrill Lynch: Is that Fort Myers or where--?
Andrew Levy : Yes, that’s basically southwest Florida.
Operator: Your next question comes from the line of Helane Becker – Jessup & Lamont
Helane Becker – Jessup & Lamont : Just so I’m clear on this, you are still targeting [inaudible] factor of 90%, is that correct?
Maurice Gallagher : Yes.
Helane Becker – Jessup & Lamont : Okay so the plan is to move capacity to adjust for that based on forward bookings? And then given that, would the capacity growth you’re doing in the first quarter so the takeaway we should have is that passengers grow to generate a 90% load factor?
Maurice Gallagher : Yes, that last statement I think is fair. We are targeting 90%, certain quarters we think we can exceed that. First quarter is typically our strongest so 90% should be a minimum we would target for the quarter. We’ve, been our formula, we believe we can put a price out there as I mentioned in my comments, the people will respond to fares in our marketplace and there’s been some compression in our booking curve but nevertheless we, 90% is very doable, we should exceed that frankly in the first quarter.
Ponder Harrison : I think when you look at the load factor we ran in the first quarter of 2008 I want to say it was just north of 86% on the scheduled service offering. So I mean in order to move that upwards say to 90% in addition to the fact that we’ve guided to approximately 5% departure growth as well as ASM’s increasing by 7%, I think again the last part of your statement was true. We anticipate moving perhaps double-digit numbers of customers on a year-over-year basis on to the scheduled service in order to meet those kinds of criteria.
Helane Becker – Jessup & Lamont : With respect to the decline in values that you talked in the press release today for the MD-80’s do you have to take any kind of a charge against that equipment at any point since they’re down in value?
Andrew Levy : The answer is no because they are an operating asset and obviously generating substantial profits if anything. We don’t anticipate that as being an issue, just same answer as in November I think.
Helane Becker – Jessup & Lamont : I was just confused about your comments today and in the press release about the declining value but you just mean from an acquisition standpoint.
Andrew Levy : That’s absolutely correct. It costs us less to add similar quality MD-80 aircraft now then it has in past times, the shift down in what it costs to acquire and have an airplane ready to fly in our revenue service.
Helane Becker – Jessup & Lamont : With respect to your growth plans, one of the push backs I hear from investors has to do with the fact that you are very heavily leisure and people just aren’t thinking about flying and making vacation plans and yet pretty much what you said today contradicts a lot of that, can you just discuss Las Vegas versus Florida, in the past when Florida got slow you pulled capacity back. Can you talk about the markets that way.
Maurice Gallagher : I suggest you listen more to us then your investors. We’re on the inside here. The world has not stopped. The world has not ended. Moreover our customer base is different then it is in NFL cities and our small cities, but they didn’t have the housing problem that we see so rampant in a lot of small cities. Where we get our customers from the economic upset is certainly there but it is not in our belief anything close to the magnitude of what the rest of the world or the talking heads on the TVs are talking about. We just aren’t seeing that, but its hard to get that message across. People think because Las Vegas itself is suffering that we’re going to suffer. Our people come from outside Las Vegas, don’t live in Las Vegas so those some frustrations on our part as we look out at the investor world and they just can’t understand how we can continue to produce very good loads and at prices that make sense for us. That all goes to cost structure and deeper discussion but we see a strong world relative to what we’re hearing from the rest of the industry in the foreseeable future.
Ponder Harrison : I think maybe two more data points are worth mentioning, number one is like the total value of the itinerary. When you look at the value proposition say to Vegas, Vegas arguably is on sale right now. The hotel inventory is high, the rates are basically at historically low levels for consumers so it is a great time to come to Vegas. Again for a number if not the majority of the small markets that we serve Vegas is a three-night stay. Take it to the bank. Its not a 10 night, high-end vacation in terms of total absolute cost. When you take on the average our customers can come into Las Vegas, two people travelling round trip for less then $500 and stay three nights. There are many places on the east coast and elsewhere where you can’t do that for one night let alone a weekend. So Vegas is an incredibly attractive value given the nature of the length of stay we believe. I think secondly again when you look at the VFR component of traffic away from Las Vegas there’s just tremendous utility to having low fare affordable transportation that takes you to places you actually want to go to. Price points based on shorter haul stage lengths decrease proportionately. So we have a number of $39 fares and $29 fares and fares ranging upwards of on average even in the $50’s and $60’s for the east coast markets which again just opened up an incredible opportunity for customers in markets that prior to [allegiance] entry, really that option did not exist for them. So I think we mentioned our ability to continue to stimulate demand. You have to have a cost structure, you have to have ancillary revenue to do that, and you have to have the ability to perhaps be willing to enter small and uncontested markets that have yet been proven.
Helane Becker – Jessup & Lamont : When you talked about the average fare being down a little bit in the first quarter, but then how much of the decline is really same store basis versus say the fact that you’re going into some of these shorter haul markets with these $39 to $55 fares.
Maurice Gallagher : At this point we don’t have that kind of detail and don’t want to get into that level of detail on the call. Certainly we’re just suffering to a certain degree just like everyone else but certainly not to the ultimate degree that others seem to in at this point.
Operator: Your next question comes from the line of Kevin Crissy – UBS
Kevin Crissy – UBS: The fixed fee flying you were saying that you’re going to put out an 8-K later in the week but you basically said it would be down from where we are in 2008, I basically want to model you before we get that K so are we talking somewhere between the revenue generation of 2007 and 2008? Because a million or two here or there does kind of move your numbers.
Andrew Levy : I don’t have the 2007 numbers handy so I don’t want to comment on 2007. Essentially there’s two things going on, there’s one which is that the structure of the contracts is different so that there was an element of the revenue that we, the pricing though was associated with the fuel so right there you have to strip down your unit revenue which we look at on a block hour basis in our charter agreements. So you’re going to get lower unit revenue, there’s also going to be less activity in the first quarter of 2009 versus the first quarter of 2008 in the Harrah’s agreement. And Harrah’s is the primary driver of revenue in the charter area. There is a lot of ad hoc flying in the first quarter as well. But last year [Tunica] for instance started with two airplanes and they flew a lot in the first quarter and then they kind of backed off the rest of the year. First quarter this year in Tunica in particular is more similar to the last few quarters then the first quarter of 2008 so its just going to be lower. So an that’s why we thought it was appropriate maybe to put something out in an 8-K to give you perhaps more of an ability to model it going forward but that gives you at least maybe a [inaudible].
Kevin Crissy – UBS: Your 165 fuel for December and looking into January, is that an all in number?
Andrew Levy : Yes.
Kevin Crissy – UBS: And then your operating expense per passenger, just want to make sure I was clear on that, because I thought that was—
Andrew Levy : Let me go back to fuel for just a second, I think one thing that is important to note is and we’ll get into this in the 8-K we’re starting to report gallons consumed by the Harrah’s flying but there will be a zero cost associated with that. That will continue to take the spot market price that we pay for scheduled service and lower them on a per gallon basis for the overall system. And so December it was $1.65 and that’s all in, just keep in mind starting in January the Harrah’s economics change so that it used to be about $1.25 per gallon for Harrah’s fuel, now it’s zero and so we actually expect that January is going to be lower for no other reason then a change in the structure of the agreement.
Kevin Crissy – UBS: But if I were to look at just the gallons consumed for, and I’m estimating here for just the scheduled I can use Bloomberg plus $0.21 or something like that?
Andrew Levy : It would be $0.25 on top of the physical price of jet and we split that about 60% Gulf Coast, 40% LA jet.
Kevin Crissy – UBS: When I look at your non-fuel cost per passenger, I may be modeled slightly different then the way you present it, but net net you’re saying its going to be something similar to Q1 of 2008 versus Q4 of 2008 which is to say significantly better?
Andrew Levy : Yes.
Kevin Crissy – UBS: You said the growth, the 21% subject to upside, ASM growth that 21% that’s what’s subject to the announcement upside, so there’s upside from 21% is that what I take it?
Andrew Levy : Well it would be both the 18% and the 21%, we prefer to focus on departures, but they’re linked so the idea is that there’s probably going to be some more flying that we’re going to be announcing that would start up at the tail end of the second quarter which would drive both departure and ASM growth.
Kevin Crissy – UBS: On the ancillary we get questions kind of like what of your ancillary revenue categories are most economically sensitive, so yes, your convenience fees, seems like something that would be difficult to avoid or you’d be less likely to avoid versus maybe some of the other fees, can you talk about which fees you see as more stable and less likely to decline as you go forward. I know you’re looking for sequential improvement but if you could chat about that.
Ponder Harrison : We’ve really seen a pretty good stabilizing effect across all the product categories that we mentioned in the call and I just want to reemphasize that’s not to diminish the third party side. In the first and second quarters in particular we see huge build-ups in our rental care contribution just because the strength of the Florida networks during spring and the Easter period as well. You referenced convenience fee, we have baggage. Certainly baggage is I think customers are trying to figure out what they do with checked baggage at this point, do they bring a carry-on, if they do can they actually get it in the overhead ban or is required to be gate checked and sent down below or do they just go ahead and pay for that checked baggage. I think the nature of our leisure focused customer more so then a business customer probably gives us a better advantage to gain higher yields and higher traction rates for the items discussed like seat assignments, like baggage, like our Trip Flex insurance like policy product. So quite honestly here in the last calendar year in particular we’ve seen very, very solid levels, maintenance levels in those numbers. We’ve seen some year-over-year growth because certain products we didn’t have like Trip Flex didn’t exist in the fourth quarter of 2007 so we’ve had a nice pick up in 2008 from it. But right now we’re seeing good stability across really all categories particularly at the unbundled level.
Operator: Your next question comes from the line of William Greene – Morgan Stanley
William Greene – Morgan Stanley : I’m wondering if in the discussion on all the growth initiatives that you may start to announce here in the second quarter can you talk a bit about what the constraints are, is there an upper limit as to where you’d be willing to take that growth and how many new leisure destinations do you think are actually left for you?
Andrew Levy : Let’s see, the upper constraint I’d say is, I don’t know if I want to put one out there. Obviously there’s only so many additional aircraft we could bring on between now and being able to put it into service in the second quarter so I think that’s probably the biggest constraint. I don’t think we’re going to see the rate of growth in the second quarter double by any means but we think that we plan on announcement that will drive that number higher. As far as destinations are concerned we think there’s a few large destinations inside the continental US that make a lot of sense for us. I think quite honestly San Diego and Oakland are two places that we have stuck our toe in the water and I think over time those will be their own bases in time as we believe there’s a lot of opportunities to serve both of those locations. And then there’s a few other big destinations that we think are large enough to support their own base with service to multiple small cities around the US and that’s likely to be the announcement that we’re going to be making in the coming few weeks will be the addition of a destination.
William Greene – Morgan Stanley : Have you ever talked in the past about as the sort of upper limit to what you’d want to grow at regardless of the second quarter as just as a broad statement is there a certain number where you said that’s about all realistically you’re going to put in place in any given quarter.
Maurice Gallagher : As a general theme we’ve the street 20% a year was our guidance for the upcoming years. We told that last year and I think for the next five years. Not saying we couldn’t go above that but on a general statement five, six, seven airplanes a year right now is probably where we’ll be. Not to say again we couldn’t do seven or eight but we won’t be doing 15 in a year such as that. But those are the general metrics we are focused on at this point.
William Greene – Morgan Stanley : And then if we take a look at the ancillaries again, have you really harvested all the low hanging fruit with regard to the unbundling or is there a lot more that you could introduce there that’s already in place.
Ponder Harrison : That’s a fairly difficult question to answer. We believe there are others that we could explore. We’d really like to try to invest against the third party opportunities where possible just because those are known, those are purchases that we know consumers are going to make, they just are making them away from us therefore we want to try to corral as much of that revenue into our own basket as much as we can. So I think that’s where a strong focus will be going forward. That certainly being said we don’t think we’ve reached the limit of unbundling though.
William Greene – Morgan Stanley : What’s the utilization that you assume in your maintenance forecast?
Andrew Levy : Well I think that’s kind of the point we’re trying to get across is we’re not really assuming, we’re trying to basically let you know that utilization really isn’t driving maintenance expense because we are a low utilization operator. When we go into airframe heavy maintenance visits, its due to calendar limits not flight hour limits. Now if we decide to start flying significantly more, that could change but we’re pretty far away from flight levels that would drive us to go into [see] checks based on flight hours as opposed to the calendar. And the other components are really not driven by utilization either whether it be engine overhauls or parts and material expenses or part and repair expense so its really more of a dollar per aircraft per month number and as such if we increase utilization we believe that we’ll see a pretty significant benefit on a unit cost basis.
Operator: Your next question comes from the line of Duane Pfennigwerth - Raymond James
Duane Pfennigwerth - Raymond James: Just on a pre [inaudible] basis, if I run through sort of 90% load factor, it looks like maybe up low single-digits first quarter and then down in the second quarter, could you confirm that, ex fuel unit costs.
Andrew Levy : I don’t think we’re prepared right now to speak to that. I don’t have those numbers in front of me, I would say it does appear that first quarter is probably, if you said its probably going to be higher then a year ago, that’s probably right. And I don’t have any comment to give you second quarter at this time. Other then that, I think what we tried to communicate in my part of the call is that many of the expenses that we have away from fuel certainly are really more of an almost fixed nature and so by just returning to utilization levels that has been kind of the norm for us in the past, we’re going to see some good pick up in unit cost performance.
Duane Pfennigwerth - Raymond James: I see you’re unhedged, can you just give us some background what your current thinking is there, what strategies you might employ and what you need to see to pull the trigger on hedging here.
Andrew Levy : I guess I would point you and anyone else interested to the Investor Day presentation that I made back in November where I think that the slides presented as to why we see doing hedging about 18 months ago and quite honestly I guess I just don’t see any reason to change that position. Its kind of a philosophical view of ours that we’re not a trading company and we prefer instead to focus our efforts on running the business profitably at any fuel price and I think we showed very effectively last year in the third and in the second quarter that we were able to do that, manage our business despite the record increase in fuel and continue to deliver profitability, certainly doing it a far higher margins then anybody else. In fact I think we were the only ones that really made money and had no hedges. So at this point in time we’re not really considering changing that view. We certainly talk about it all the time and we’re mindful of the fact that we have fuel exposure and we’ve talked about other ways that perhaps we could somehow limit our fuel risk but the idea of going and trading financial derivatives is something that we’re not really considering at this time.
Maurice Gallagher : The other piece of that is the curve going out in the next couple of months is up what $15, $20 with the [inaudible] effect that people are believing and just hard pressed to go out and put futures on at a minimum with that kind of curve out there.
Jim Parker – Raymond James: Just a little clarification on your fare guidance, in November you said the fair for the fourth quarter would probably be down about $4 and it was down about $3.50 so that’s consistent. Now you’re suggesting that fares in the first quarter may be down 4% to 6%, however you had negative capacity growth in the fourth quarter, you’ve got positive coming here in the first quarter, is that greater decline in average fare due to economic weakness or is it due to acceleration in capacity growth or what is that all about.
Maurice Gallagher : I have theories and opinions, I think you can’t sit here and say we’re not seeing some softness in the selling fare. That’s certainly a piece of the equation. Additional capacity out there, I’m not going to say that’s not a piece of it as well. But the key takeaway is that the overall RASM is going to be up because of shorter stage lengths and higher load factors.
Jim Parker – Raymond James: And you’re suggesting that the ancillary, that there’s no softness there.
Ponder Harrison : You know to date we’ve not seen it. I guess we’ve had a sequential increase every quarter. Certainly this quarter on a sequential basis was perhaps not as high on an absolute level as we’ve seen on a per passenger basis going back historically but we did increase convenience charges on January 1st. We have also begun to probably more aggressively revenue manage both our web and our airport bag activities. We continue to make very good gains with the assigned seat program, what we call our premium-seating program. And so I think that we’re hopeful we’ll see some benefits from that particularly let’s just say with a tightened booking curve more of our first quarter and second quarter revenue occurs in the first and second quarter let’s say so we’ll get the benefit of a lot of those perhaps ancillary bumps during that time.
Operator: Your next question comes from the line of Steve O’Hara – Sidoti & Company
Steve O’Hara – Sidoti & Company: In terms of the fuel burn, do you think that’s a good rate going forward given the growth you’re looking for in the second quarter, is that something given where fuel is, down so much is it less of a priority, is that a good rate going forward.
Maurice Gallagher : I wouldn’t use that rate, our crews have done an exceptional job in trying to manage how we fly the airplane, shortest direct routes, minimizing fuel burn and as far as speed and things like that. But that mid 950, 955 is a very good number to use for fuel burn per hour even though we may come in lower then that. I wouldn’t want to sit here and say that’s a changed number at this point.
Andrew Levy : Typically fuel burn is higher during the summer months so you do have some seasonality there just because of temperatures. Keep that in mind as well.
Steve O’Hara – Sidoti & Company: You talked about capacity being able to change it rapidly, what’s rapidly, is that kind of a quarter out or is that a month out, things get better or worse materially then expectations.
Andrew Levy : Its 60 to 90 days.
Operator: Your next question comes from the line of Adam Hoff – Holden Asset Management
Adam Hoff – Holden Asset Management : I saw in your 10-K that the average age of the airplane its getting up there in the MD-80’s and I wonder how you view the lifecycle and what would be your plans to bring in some new planes and what kind of planes, what sort of lifecycle you look at.
Maurice Gallagher : We look at our airplanes on a cycle basis more then we do an age basis. And our fleet right now averages give or take 29,000 cycles and if you wanted to be conservative with the 60,000 marker in cycles, somewhat the FAA guideline where extra airframe maintenance begins for aging aircraft we feel we’re in excellent position and flying a 1,000 cycles a year on average most of us will be gone from our jobs respectively by the time we hit that level. Having said that on new airplanes, we’re very much a believer in the single aisle type of airplane we’re flying now so the two categories there, the Boeing or the Airbus level are probably the 800 or the 320 if we talked about replacement. We talk to those folks all the time, have been doing continuously for the last two years, three years, just understanding what they have, what the metrics of the airplane are and the like and if, some point we will have to look at newer airplanes, perhaps not new even used, depending on how things go. But that time isn’t at this moment so the MD-80 is doing a terrific job for us.
Operator: Your next question comes from the line of Brian Delaney – [Inrust] Capital
Brian Delaney – [Inrust] Capital : I want to go back to same store sale metrics if you will, in your December presentation you said that there was a 19% reduction in departures in your markets that existed in the fourth quarter of 2007, so is there something that I’m missing in the analysis if I take the prior year departure number, take 19% out of that and then multiply it by the current load, namely 133 passengers per new departure, the difference between the number of passengers last year and this year would be what the same store decline on a passenger perspective, its about 7% decline when you think about it on a constant market basis.
Maurice Gallagher : Don’t recall the 19% departure.
Andrew Levy : I think you’re numbers are correct as far as the 19% decline, and that the reason that the overall decline wasn’t anywhere near that significant was because we had growth in fixed fee as well as we expanded our network by adding a number of new routes. As far as the rest of the math that might be best to cover off line when we can actually break out a calculator and—
Brian Delaney – [Inrust] Capital : Its just taking 7,300 departures last year minus 19% is 5,900 departures in the comparable quarter this year times 133 passengers per flight gets you to call it 785,000 passengers versus 840 last year so the delta I think it looks like a 7% drop in demand. I think earlier on the call you said that you were seeing strong demand in both your new routes as well as existing routes so I’m trying to understand what would be wrong with that analysis.
Andrew Levy : Well I think that it depends on, I guess how you define demand. I mean we have higher load factors in the system and in the scheduled service and that was across all routes, new and, well obviously new there’s nothing to compare to, so I guess I think I would object to your conclusion. I don’t think it is correct and I think that if you want to get into the minutia of numbers, we’d be happy to do that but probably best to do that offline.
Ponder Harrison : One more thing to add is just the assumption of the definition of same store sales assumes fixed capacity year-over-year as well and I –
Brian Delaney – [Inrust] Capital : I’ve adjusted upward—
Ponder Harrison : I appreciate that but in a number of existing markets where we’ve been for several years we’ve taken capacity down. So its very hard to find a same store number on any kind of equivalent compared to a period basis that’s identical to the previous year. I’ll just Wichita for instance, we have a number of markets where perhaps in December we took Wichita flying down call it 40%, so it varies repeatedly as do all markets based on seasonality and the time of the year. Its not to say that all sales are fixed and all store inventory is fixed because its not.
Maurice Gallagher : We can vary our square footage very easily.
Brian Delaney – [Inrust] Capital : On your Investor Day, someone earlier said that you got it down a couple of points, I followed your Investor Day and subsequently some investor meetings in early December, you were guiding to average fare down to 81 and it came out at 83. So something late in December adjusted up I guess your expectations relative to where we were tracking in early December but then your guidance heading into the first quarter is for it sounds like be in the 70’s. Can you just give some granularity in terms of what happened throughout the quarter, what happened towards the end of the quarter, and then why we’re seeing a drift back down in the first quarter.
Maurice Gallagher : I’ll make a general statement, we typically try and under promise and over deliver. So that’s the general theme of what you’ve seen from us. I think quarter after quarter here and the 81 was a conservative number. We expected to beat that and when we put it out there just as we think that the current numbers are kind of worst case. Now when we did the 81 we had an extra month of visibility into that number so we were now, 30% of the way into, not even that, into the quarter, we’re giving you our best visibility.
Brian Delaney – [Inrust] Capital : When we’re looking out in the first quarter, 5% departures, second quarter 18% and that’s up against a very strong prior year in terms of overall departures, when we’re trying to manage the fares and the load, how low will we go in fares to keep the load at 90% given the increase in capacity.
Maurice Gallagher : Our objective is to stay 90%. [inaudible] where we have to to get there. That’s what if you will our variable lever.
Andrew Levy : But as we mentioned if the price point is at a level which doesn’t permit us to grow profits, then we will scale back capacity growth very, very quickly.
Brian Delaney – [Inrust] Capital : -- 60 to 90-day kind of, we have 60 to 90 days worth of exposure in the capacity addition so during that window we may have, run into a period where we might have load issues but we can adjust that pretty quickly so that’s the window in terms of the exposure we’re taking.
Maurice Gallagher : Yes in a word but in general understand we are seeing exceptional margin opportunities in the coming quarters. We made $28 a passenger in this fourth quarter. As we go into 2009 the reason we’re expanding is we see these exceptional opportunities. If all of a sudden the fare collapses for whatever reason which we don’t see I might add, we will adjust capacity and come backwards. But that’s the type of great place we find ourselves in that not only do we think 28 is there but if you listen carefully to what we’ve said 28 should be exceeded in the first quarter.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Maurice Gallagher : Thank you all for your attention today and we look forward to visiting with you in the coming weeks and if you have any additional questions give us a call. Thanks very much.